Operator: Good morning, ladies and gentlemen. Thank you for standing by. I’d like to welcome everyone to the Canaccord Genuity Group Inc. Fiscal 2025 Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise following the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference call over to Mr. Dan Daviau, Chairman and CEO. Please go ahead, Mr. Daviau.
Dan Daviau: Thank you, operator. Today’s remarks are complementary to our earnings release, MD&A and supplemental financials, copies of which have been made available for download on SEDAR+ and on the Investor Relations section of our website at cgf.com. Within our update, certain reported information has been adjusted to exclude significant items to provide a transparent and comparative view of our operating performance. These adjusted items are non-IFRS financial measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS financial measures that appear in our Investor Relations presentation and in our MD&A. Before we begin, I am pleased to share that with the approval from our Board of Directors, Nadine Ahn has been appointed to the role of Chief Financial Officer for Canaccord Genuity Group with immediate effect. Since we welcome Nadine as our Deputy Chief Financial Officer in October, she has been working closely with Don MacFayden and our broader Global Operating Committee to ensure a seamless transition and I have every confidence that she will continue to make a positive impact for the company and our shareholders. As we have previously disclosed, Don will remain very active in a senior finance capacity within our North American business, contributing his extensive experience rooted in over three decades of financial leadership across the organization. We are all deeply grateful to Don for his invaluable wisdom and expertise and look forward to his continued contributions. Both Nadine and Don are joining me on today’s call. And with that, let’s review our third quarter results. Our third fiscal quarter was characterized by improving performance across North American broad market indices with bouts of volatility driven by a mix of monetary policy developments, ongoing geopolitical risks and the U.S. elections. Against this backdrop, our wealth management businesses continue to deliver impressive growth and we also benefited from improving activity levels for corporate financing activity in most of our geographies. Firmwide revenue for the three-month period was $451 million up 16% year-over-year and bringing our fiscal year-to-date revenue to $1.3 billion up 22% year-over-year. Excluding significant items, firmwide pre-tax net income for the three-month period amounted to $40 million, a decrease of 11% year-over-year. This translated to an adjusted diluted earnings per share of $0.17 for the three-month period. While this is a disappointing result in the context of our revenue growth, our profitability for the three-month period was impacted by certain elevated non-compensation expenses, which reflect ongoing investments in the growth of our wealth management businesses and certain client related provisions, increased premise and equipment expense related to our new offices in Vancouver and New York, as well as increased professional fees and provisions recorded during the period largely in connection with previously disclosed ongoing regulatory matters. Our compensation ratio for the three and nine-month periods were 56.5% and 58.1% respectively. The lower ratios largely reflected a shift in our business mix by vertical segment and geography during the three-month period. As previously noted, our compensation ratios can be subject to variability between quarters and is best reviewed on an annual basis. I will note that our long-term averages have not changed. We are encouraged by a modest uptick in capital market activities over the past few quarters and we look forward to fully participating in a recovery for mid-market equities in our core sectors when opportunities arise. Our wealth management business continues to be a source of resilience and earnings strength. These businesses contributed 76% of our adjusted earnings per share for the third quarter and 82% of adjusted EPS for the fiscal year-to-date. On that note, I am pleased to report that our Board of Directors has approved a dividend per common share of $0.085. Turning to our wealth management operations. Firmwide client assets grew to a new record of $115 billion at the end of the three-month period, improvements of 4% sequentially and 16% year-over-year. This improvement reflects positive inflows, market growth, and contributions from our recruiting and acquisition activities. The adjusted net income from this division totaled $36 million for the three-month period representing a slight decline of 4% compared to the same period last year. This was primarily due to the impact of the previously mentioned rise in non-compensation costs. When measured on a fiscal year-to-date basis, adjusted pre-tax net income of $108 million increased by 1% year-over-year. Our business in the UK & Crown Dependencies contributed record quarterly revenue of $116 million for the three-month period, up 14% year-over-year and bringing year-to-date revenue to $332 million, which is also a new record for this reporting period. Measured in local currency, client assets increased 7% year-over-year to a record of £36 billion. Approximately £1 billion of this increase reflects assets from our acquisition of Cantab Asset Management which was completed in October. Fee related revenue in this business continues to be strong and remain comfortably above 80% of total revenue for nine consecutive quarters. The business achieved normalized EBITDA of around £20 million for the three-month period marking an 11% increase from the second fiscal quarter. This brought year-to-date normalized EBITDA to approximately £58 million. Our UK wealth management business was our largest contributor of adjusted pre-tax net income for the three and nine-month period. That said, the quarterly and year-to-date contributions were flat when compared to the prior year's comparison period, primarily reflecting investments in our growth and capabilities. As the impact of inflows from our recruiting and acquisition activities are reflected in our results, we expect margins in this business to improve. And finally, we look forward to completing our acquisition of Brooks McDonald Asset Management International in the current fiscal quarter, which we expect will add just over £2 billion in client assets. Third quarter revenue in our North American wealth management business increased by 25% year-over-year to $96 million, largely attributed to higher commission and fee revenue. While we experienced a modest uptick in revenue from new issues during the quarter, activity levels in the segment have remained below historical levels, reflecting a reduced risk appetite among investors. Despite the reduced contributions from new issue activity, year-to-date revenue of $274 million represents 92% of the record revenues earned by this business in the prior full fiscal year. Client assets in this business improved by 17% year-over-year to a record $42 billion and fee generating accounts now represent 55% of total assets under administration in this business. I'm also pleased to report that the average practice size per advisory team has increased to $292 million. We continue to experience solid recruiting momentum in this business and we've had an excellent experience onboarding new teams in Calgary and Vancouver. The adjusted pre-tax net income contribution from this business was $9 million for the three-month period, down 17% from the prior year's comparison period. Profitability was impacted by higher premise and equipment costs in connection with our new Vancouver headquarters in addition to an increase in our G&A for an elevated client related expense, which is one-time in nature. On a fiscal year-to-date basis, adjusted pre-tax net income improved by 5% year-over-year to $30 million. And finally, our Australian wealth management business earned record quarterly revenue of $21 million for the three-month and $59 million for the fiscal year-to-date increases of 31% and 27% respectively. Similar to our North American business, new issue activity remained below historical levels, but we are pleased to see a 31% year-over-year increase in revenue from this segment to $21 million for the three-month period. Managed client assets grew to $8 billion at the end of the three-month period, a year-over-year increase of 33% and a new high for this business. Our recruiting activity in this region remains strong and is contributing to a growth of fee-based assets, which contributed 43% of the total revenue in the third quarter. Adjusted pretax net income amounted to $2 million for the third quarter, bringing the year-to-date contribution from this business to $4 million, surpassing the full year amount earned in fiscal 2024. Turning to the performance of our capital markets division, on a consolidated basis, revenue earned by our capital markets division amounted to $211 million for the third quarter, which was relatively flat when compared to the prior fiscal quarter. This brought fiscal year-to-date revenue to $618 million, a year-over-year improvement of 29%. Third quarter profitability in this division was flat compared to the most recent fiscal quarter and down 11% year-over-year to $15 million. While our Canadian, Australian and U.K. businesses had positive contributions, our U.S. business continued to be impact by the previously mentioned expenses in relation to our ongoing enforcement matter. Additionally, trading expenses in this business increased in line with the increase in trading revenue. Our advisory segment was the largest contributor to our consolidated capital markets revenue mix in the quarter, although revenue of $70 million was down 6% from the same period a year ago. While still our largest contributor of advisory revenue for both three- and nine-month periods, fees earned in our U.S. business declined by 28% year-over-year to $31 million in the third quarter. This reflects the timing of deal completions which benefited our revenue in the prior fiscal quarter. On a year-to-date basis, advisory revenue in this business is up 25% year-over-year and we continue to see this as a constructive environment. Our Canadian business experienced a notable increase in advisory revenue of 115% year-over-year to $23 million. While we had visibility into a solid pipeline of advisory mandates, our third quarter revenue was disproportionately impacted by a large fee by the completion of a significant mandate. Despite operating in a persistently difficult market for capital markets activities, advisory revenue in our U.K. business was up 21% sequentially to $16 million. On a consolidated basis, corporate financing revenue increased by 46% year-over-year to $58 million, as clients took advantage of more favorable conditions to raise capital. This brought our year-to-date revenue in this segment to $175 million, up 75% compared to the same period a year ago. Our Australian business reported a 28% year-over-year increase in new issue revenue to $21 million, reflecting a robust environment for mining sector activities. I will note that we anticipate some seasonality over the coming months as this period typically marks a slower summer season in Australia. Corporate financing activities also showed modest improvements in our Canadian and U.S. businesses, which contributed $19 million and $17 million respectively. While we've been pleased to see an improving operating environment for corporate financing, activity levels for small and midcap companies often trail broader market trends as we await a more supportive environment for risk equities. Revenue on our trading businesses improved 18% year-over-year and 28% sequentially to $35 million, largely reflecting improved retail flows in our U.S. International Equities Group. We continue to work towards resolving our U.S. enforcement matter. In connection with our periodic assessment of the adequacy of our provisions, we increased our provision based on engagement with certain regulators during the quarter. We do not have any other substantive update, nor is it clear when we can expect resolution. We've also had an active effort around reducing non-compensation expenses and improving our profitability, recognizing that compliance-related spending will continue to be elevated in the near term. Our outlook for the balance of our current quarter is constructive. As we look towards our 2026 fiscal year, we are optimistic for strong performance, driven by continued strengthening of the corporate financing and advisory activities in our core capital markets verticals, coupled with a continuance of growing contributions from our wealth management businesses. And with that, Don, Nadine and I will be pleased to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct a question-and-answer session. [Operator Instructions] Your first question comes from Stephen Boland with Raymond James. Your line is open.
Stephen Boland: Good morning, everyone. Maybe team, can you – can we just dig into the growth in the expenses and G&A in the Canadian Wealth Management division? I know you said there are some client-related provisions as well as maybe new costs for the new headquarters. Is that – am I reading that? Or can we get [indiscernible]?
Dan Daviau: Yes, you nailed it. I mean, we just opened up a huge new office in Vancouver. Certainly, you've seen the incredible growth that we've had in our Canadian wealth business. We had to upgrade our offices at some point. That was long-standing to be done. The cost of the increase in the Vancouver space is now in that quarter. So you've seen an uptick on that cost, but the other costs are kind of onetime-ish, not onetime-ish, but they're not recurring. There's a couple of specific client-related costs that we have to put some expenses in. So those costs will come down next quarter, not the lease cost, but certainly clients cost. Don, I don't know if you have anything to comment on that.
Don MacFayden: Yes. I mean, the lease costs would obviously be captured in the premises and equipment line and the client-related activity and some professional costs and so forth would be in G&A. Also typical seasonal activity in this quarter also contributes to a little bit of an uptick in the G&A number.
Stephen Boland: Okay. So I don't want to – I know you don't like giving guidance, but like that $8 million you reported on the G&A, is that $5 million related to this client-related provision or $4 million? Like what's the run rate on, Nadine, in terms of what you...
Nadine Ahn: Well, it wouldn't be a run rate. It would be – it would just sort of be a onetime component in terms of the impact on the Q3 numbers.
Dan Daviau: Those costs go back to historical numbers.
Stephen Boland: So in the – probably the run rate would be in the $4 million to $5 million, like which previously is what you've been reporting for the last couple of years?
Nadine Ahn: Yes.
Stephen Boland: Okay. And could you talk about what the client-related matter is, like is it…
Dan Daviau: It's irrelevant to the broader picture stuff, to be honest and we won't get into specifics, but we have expenses for it.
Stephen Boland: Okay.
Don MacFayden: It's not an ongoing matter that's going to lead to recurring costs.
Stephen Boland: Okay. And how – like why would the new headquarters in Vancouver – is it just wealth management there? Or is it capital markets in there? Just why would that premise be booked in that provision as opposed to corporate?
Dan Daviau: Well, we've got four floors, I think, four, five floors, Don, four?
Don MacFayden: Yes.
Dan Daviau: Four floors, 3.5 of them are wealth. So most of it is wealth.
Stephen Boland: Got it. Okay. Thanks to that. Just in the U.S. provision, the language in the MD&A says that you booked this through another increase in provision, but there's a likelihood that it may go higher. I’m just curious then if you – is it just you wouldn’t have booked more because you don’t know what that amount is, but you do believe it’s going to go higher?
Don MacFayden: Well, we don’t know. I think we don’t know what the amount is going to be ultimately. So we book the estimate on the basis of the information we have.
Stephen Boland: Okay. All right. Let’s move to the positive. Basically, Dan, you always talk about the pipeline for M&A. Maybe you could just go through each of the main divisions. You say, you always have a good kind of pipeline.
Don MacFayden: Yes. Yes. Again separating them up by country, you’re – as you kind of divide M&A line into little teeny buckets, you’re always going to get some volatility around it just because you got someone big fees that fall into one quarter, don’t fall into another quarter. So it’s – the lot – the direction of travel is exactly as I indicated, up and to the right. We’re probably in and I’m sure your own folks would tell you this, Steve, we’re probably in probably one of the more buoyant M&A markets I’ve seen in the last several years, just prices are good. You got a great regulatory environment in the U.S. You’ve got access to capital. You continue to have huge private equity balances looking to put out money. So we’re probably in one of the more conducive M&A environments going forward, how that books into every single quarter. We’ve got visibility, but not that kind of visibility. Things get delayed a week or two weeks or three weeks, but generally up and to the right and it continues to be a very conducive market. So you saw everything down in the U.S. last quarter, all just very timing related. Canada went up less relevant, but we continue to see that improving in the quarters to come, including the [indiscernible]
Stephen Boland: Okay. That’s it for me. Thanks very much.
Don MacFayden: Good questions. Thank you.
Operator: Your next question comes from Robert Goff with Ventum. Your line is now open.
Robert Goff: Thank you, and good morning. My question would be on the advisory business, would you also describe the advisory business as being one of the more buoyant markets?
Don MacFayden: Yes. That’s what I was describing, the M&A advisory business. Sorry, I maybe misnamed it, but yes. Our M&A is about – is that what you’re talking about? Are you talking about our wealth business?
Robert Goff: Yes. So it’s both buckets that look strong. So both the mergers acquisitions and the like the advisory – understood, the underwriting business look relatively lower.
Don MacFayden: Sorry, the underwriting business, yes, the underwriting business, yes, well, again, Rob, you see it as well as I would see it, to be honest. Yes, it’s getting better for sure, weeks like last week don’t help, volatility kills new issues, as you know. Or is it this week, everything’s a blur. Everything’s a blur. It was this week, I guess. So yes, I think as we get it, just a little bit of hint of stability and the risk trade improves. We’re seeing it, it’s for sure there. Our U.S. business is disproportionately impacted by the IPO market like that’s a higher percentage of our activity there. So we’re seeing IPOs get done and starting to improve the pace of that. So that’s helpful. And then we’re seeing a number of small cap financing startups done several in Canada last week, outside of our traditional mining sector, which is 45% of our revenue, we’re seeing that broadening out into some of the other sectors as well. So yes, we’re constructive on that. But as I've always said, we have less visibility. We do a deal next week that we weren't 100% sure even existed this week. So you don't have the same degree of visibility as you do on the M&A business. But yes, broadly speaking, we see deal pace of activity increasing.
Robert Goff: Thank you. If you could turn to Australia and the wealth side for a minute. It was nice to see the AUM increase in local currency 9.1 versus 8 in flat advisors. Can you talk to your organic growth prospects and perhaps broader or inorganic growth in advisors?
Dan Daviau: Yes. I mean, we continue to have an active plan in place to recruit advisors from competitors and banks in that market. Very similar to the strategy we've employed in Canada successfully, where we brought on tens and tens of billions of dollars of advisors. And that market continues to be very active and there's good coordination between our Canada and our Australia wealth business about how to grow that market intelligently. So it is working out, according to plan, but it's the law of small numbers. I mean, we started at 3, we're now at 8, and in Canada we're at 42. So we've got some work to do to replicate our – what we have in Australia, what we built in Canada and Australia, and we're actively working at that. I'm in Australia next week – the week after next. We continue to have very, very strong aspirations for that market. We think we can do a phenomenal business there.
Robert Goff: And the advisor economics remain very attractive in Australia.
Dan Daviau: Yes. There are arguably more – markets are always changing, but arguably the model works better in Australia than it even works in Canada.
Robert Goff: Good, thank you.
Operator: Your next question comes from Graham Ryding with TD Securities. Your line is now open.
Graham Ryding: Hi, good morning. Your AUA growth in Canadian wealth was strong in the quarter. Did you have some success recruiting or closing some new advisors joining the business?
Don MacFayden: Hi, Graham. It's Don. Yes, we did have some larger sized books come into the business during the quarter as a result of the recruiting effort. I mean, as you know, it tends to be lumpy. So it does stand out. When we do get that.
Dan Daviau: We certainly have important hires in Vancouver, in Calgary and in Ottawa.
Graham Ryding: Okay, great. And then on your UK wealth, looks like there's a little bit of margin compression going on. Seems to be around the compensation side. What would be driving that?
Don MacFayden: Well, it's just our continued efforts at improving organic growth and putting systems and so forth in place, which is gaining traction. But you obviously always incur the cost before you sort of get the benefit. So there's a little bit of that as well as we closed on the Cantab acquisition right at the start of the quarter on October 1. So there's always a little bit of noise as we integrate the two – integrate that new business into our existing larger platform. There's nothing exceptional. It's just sort of those kinds of costs.
Graham Ryding: Okay, that's it for me. Thank you.
Dan Daviau: Listen, I mean, absent the expenses, the quarter was a great – it was a good quarter, exactly what we had hoped to kind of be out there. Obviously, we would like to take better earnings,but if you had to kind of grow a business, you get whacked by the audit spend,which we're all over. So certainly appreciate the questions. And we continue to look forward to our upcoming quarter Q4, which will be our year end and lots of moving pieces around that. So appreciate everyone's participation on the conference call and our next formal update won't be until June, but we'll obviously be talking to you folks before then in term. Nadine and myself and Don are around and certainly welcome any additional questions. So thank you again for your participation in this. And goodbye from New York, which is where we're sitting today.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.